Operator: Ladies and gentlemen, good morning, and welcome to the analyst conference call on the third quarter 2022 results of Ahold Delhaize. Please note that this call is being webcast and recorded. Please note that in today's call, forward-looking statements may be made or statements other than statements of historical facts may be forward-looking statements. Such statements may involve known and unknown risks and uncertainties that could cause actual results, performance or events to differ materially from those included in the statements. Such risks and uncertainties are discussed in the interim report third quarter 2022 and also in the Ahold Delhaize's public filings and other disclosures. Ahold Delhaize's disclosures are available on aholddelhaize.com. Forward-looking statements reflect the current views of Ahold Delhaize's management and assumptions based on information currently available to Ahold Delhaize's management. Forward-looking statements speak only as of the date they are made, and Ahold Delhaize does not assume any obligation to update such statements except as required by law. The introduction will be followed by a Q&A session. Any views expressed by those asking questions are not necessarily the views of Ahold Delhaize. At this time, I would like to hand the call over to John-Paul O'Meara, Senior Vice President, Head of Investor Relations. Please go ahead.
John-Paul O'Meara: Thank you, operator, and good morning, everyone. I'm delighted to welcome you to our Q3 2022 results conference call. On today's call are Frans Muller, our CEO; and Natalie Knight, our CFO. After a brief presentation, we will open the call for questions. In case you haven't seen it, the earnings release and the accompanying presentation slides can be accessed through the Investors section of our website, aholddelhaize.com, which also provides extra disclosures and details for your convenience. [Operator Instructions] To ensure easy speaking, all growth rates mentioned in today's prepared remarks will be at constant exchange rates unless otherwise stated. I'll now turn the call over to Frans.
Frans Muller: Thank you very much, JP, and good morning, everyone. Empowering customer choice by providing great value and easy access to affordable and healthy food options has always been at the center of the customer value proposition of Ahold Delhaize's 19 great local brands. And all year and particularly now as we head into the holiday season, we are leaving no stone unturned to support customers and associates in our own unique way. With a deep understanding of commodity prices built through our extensive experience with own brand products, our teams play an important role in the value chain and work hard on behalf of customers to ensure realistic pricing. In the face of increasing price pressures, it's everyone's job across the value chain to keep prices as low as possible for consumers. To this end, we continue to engage diligently and proactively with partners, making clear choices on assortment when necessary. Our resilient financial performance and positive market share development in the Q3 again highlights the loyalty and trust customers continue to place in our brands. And this is the biggest vote of confidence that we are doing the right things. With accelerating sales growth rates in both the U.S. and Europe, driven by increasing inflation rates, comparable store sales ex gas increased 7.9%. The group underlying margin of 4.4% was in line with the prior year as a strong U.S. performance helped to compensate for a more challenging environment in Europe. And diluted underlying earnings per share were up with 31.6%. Succeeding as a retailer in this dynamic economic and geopolitical environment, as you very well know, is a delicate balancing act of managing the price and volume equation. Therefore, and as you can see with the many initiatives on Slide #8, I'm very proud of these results and of our associates who consistently rise to meet the demands of these challenging times. Despite all the important transformations going on throughout our organization, be it in digital and omnichannel, the pivot to self distribution, modernizing our IT and technology infrastructure to drive to a more sustainable and healthy food system, our teams never lose sight and stay true to execute the basics of good retail. This is only possible with a strong foundation. And also in our case, our unique position gives the global diversity and scale of our business. Here, and as are evidenced on Slide #9, there are 3 elements in particular that I believe really set us apart competitively. Firstly, dense networks, which provide a close proximity to the customer which is also critical for enabling reliable omnichannel services. And this is increasingly important as customers shift from bigger baskets to more frequent shopping. Secondly, a high focus on great value products plus deep assortments that discounters can't match with our high-quality own brands being a key differentiator. This helps us retain existing customers by easily helping them find opportunities between price levels. And it also helps us win new customers looking for better value destinations. And thirdly, a relentless focus on the hygiene factors, keeping stores vibrant and modern, adding new digital features and functions and investing in our associates and culture. This tried and trusted model works and is evident in the numbers. In Q3, we see the number of transactions, and that means number of shoppers and shopping trips rising across our brands. And within online, we have seen a marked uptick in the ratio of new customers to our platforms during the quarter. Our 2 biggest brands are great examples and case in point. First, I'd like to highlight a special achievement of the group's biggest brand, Food Lion. Q3 marks a remarkable milestone that any type of retailer or consumer company would be extremely proud of. A decade, a decade of continuous quarterly comparable store sales growth. And based on Q4 sales so far, it's also looking good for a strong start into the next decade in those beautiful Carolinas. With their easy, fresh and affordable positioning, Food Lion exemplifies what it means to be sharp around the edges, driven by its Count on Me promise, Food Lion has clear value proposition to the customer, an excellent fresh offering, advance and well-maintained store network and a fierce commitment from the top down to its brand, strategy and culture. Albert Heijn is another great example of how the formula works. With a particular strength in innovation, technology and analytics, the brand continues to win market share with fast reaction times in an increasing challenging macro environment. This quarter included a new traffic generating 100 items under €1 campaign as well as an expansion to 1,600 price Prijsfavorieten, Price Favorites, which includes top quality own brand daily products at affordable prices. And in addition, Albert Heijn Premium passed the 600,000 member subscription mark this quarter, having just been launched this time last year. I'm pleased we're also making good progress with many of our more challenged brands. For example, at Stop & Shop, we continue to advance on our remodeling program with around 40% of the store fleet now remodeled since 2018. An important focus area for Stop & Shop is New York City, where we announced a multiyear $140 million investment earlier this year. With the first 5 stores remodels completed, we are encouraged to see all stores trending ahead of plan with a double-digit comp sales, and that lift is driven by increased units and new customer transactions. In addition, the introduction of Stop & Shop's new deal lock savings program, which helps customers capture value by locking in a specific sales price for multiple weeks on both national and private brands is delivering strong early chain-wide results. Delhaize Belgium also saw a material improvement in comparable store sales supported by the first full quarter of its Little Lions everyday low price program and enhancements to its health-oriented SuperPlus loyalty program as well. In addition to these customer-facing initiatives, we are laser focused on saving costs and operating smarter every day. This quarter, we have made good headway on combining purchasing. In fresh sourcing, we are moving more volumes to our strategic partners able to service both Belgium and the Netherlands. We've implemented new processes, which are helping reduce shrink, and we're increasing digital communication to become more relevant with younger consumers and optimize marketing costs at the same time. At bol.com, net consumer online sales were up 5.6% in the third quarter and market share gaining over 1 percentage point year-to-date. This was driven by double-digit growth in third-party partner network sales. And while the market is still challenging, the brand is well positioned to serve customers and maximize the holiday season opportunity supported, for example, by The Big Toy Book and the logistical strength of new distribution -- of the new distribution facility, which doubles our capacity as it ramps up following the official opening earlier this summer. Taking a step back and looking at the big picture, I'm equally encouraged about our progress on the 4 key priorities within our Leading Together strategy. Starting with our customer priority. Here, we are focused on unlocking the creativity and innovation of our teams to cement deeper and more digital customer relationships. Our omnichannel transformation is central to this strategy, driven by consumers' desire to shop whenever and whenever they want. In the third quarter, net consumer online sales increased by 11.5%. Our online grocery sales were up even 16.9% with strong growth in both regions. Here, our digital loyalty program continued to fuel growth and opportunities for our brands. For example, our ADUSA loyalty programs have generated over $1.5 billion in incremental sales year-to-date. And moreover, we are seeing all-time highs with increased engagement in our loyalty participation with a double-digit increase in new loyalty customers year-over-year. Furthermore, in this quarter, our CRM campaigns reached over 28 million households and delivered 8 billion personalized offers compared to 5.3 billion personalized offers last quarter. Moving on to our operational priority, which is the key enabler of our omnichannel transformation and is geared to drive long-term operational efficiency. And looking at Slide 17, we again accomplished a lot in the quarter. Our Save for Our Customers cost saving program remains on track to produce savings of more than €850 million in 2022. We are also making good progress on our plans to generate €1 billion in complementary revenues by 2025. And for example, Albert Heijn and bol.com's digital media businesses grew roughly 60% in Q3 versus last year, thanks to the continuous investment in their digital advertising capabilities, for example, in sponsored products. In addition, we acquired a minority stake in Belgium's ad tech company called Adhese, which will provide an important part of the tech stack and third-party integration to help scale our capabilities and services for advertisers and publishers in Europe, and that work will start in the Netherlands. In the U.S., Peapod Digital Labs announced plans to build an end-to-end in-house retail media business, building on the existing AD Retail Media network. And while we may not be the first retailer to make this important move, we will be the first one to go live with an end-to-end solution, making it much easier for suppliers and other content providers to find a one-stop way to work with us in store, online and across all our brands and channels. In times where speed and ease of doing business matters, this is an industry first. Moving on to our next priority, healthy and sustainable. We believe it is important to continue to make progress on elevating our healthy and sustainable strategy also during these challenging times. We believe that every step counts, and I'm proud of how our brands continue to show that it's not just about the numbers, but there is a real customer benefit in our efforts here as well. Let's take food waste, for example. Albert Heijn recently introduced its Overblijvers or Leftovers program, and Delhaize Belgium introduced its waste less, pay less initiative. Both aim to reduce food waste and provide value to customers by enabling them to buy products close to the expiry date at a lower price. The GIANT Company now has 106 zero waste stores, successfully diverting 90% or more of total waste from landfills into incineration. And Albert became the first retailer in the Czech Republic to test a hydroponic system that growth herbs and leafy vegetables on the sales floor and introduced a zero waste kitchen turning remaining food from 3 stores into [Technical Difficulty]
Operator: Please continue to standby, your conference will resume shortly. Thank you for your patience, please continue.
Frans Muller: Thank you, operator. And to the audience on the phone call, we just lost you when I was passionately talking -- maybe that was the energy, talking about turning 3 stores into meals for over 100 associates. But just to continue, in conclusion -- and we talked about food waste, right? In conclusion, despite increasing macroeconomic and geopolitical challenges, we continue to make important progress on delivering our strategy. Operational excellence, tight cost control and disciplined capital allocation continue to be important in these times. And as such, we are working hard on a variety of initiatives across the company to maintain our industry-leading position of consistent and reliable performance, dependable cash flows and shareholder returns. As always, striking the appropriate balance between supporting our associates, investing in our customers and local communities, prioritizing our digital and omnichannel transformation and playing our part in the transition to a healthy and sustainable food system will guide our decision-making. Our proactive culture plus our scale and our agility position us well, a testament to the strength we continue to see in our company and our business model. With that, let me hand you over to Natalie to talk more about the numbers and the outlook for the remainder of the year.
Natalie Knight: Thank you, Frans, and good morning, everyone. I am proud to say that in Q3 our business, again, proved resilient in what are clearly challenging market conditions. Looking at the numbers, net sales grew 9.1% or plus 20.8% at actual rates to €22.4 billion. Q3 group comparable sales increased 7.9%, with increasing momentum in both regions, although it's also fair to mention that inflation is playing a big role in these numbers. Group underlying operating margin was 4.4% for Q3, which is unchanged versus Q3 2021. Strong underlying U.S. margins and continued insurance provision benefits from rising interest rates offset lower Europe margins, which were impacted by rising energy costs and the challenging economic environment. I'll come back to this later. Diluted underlying earnings per share was up €0.70 or 31.6%, driven by strong underlying operating performance as well as positive U.S. dollar exchange rate effects. Our EPS growth rate also benefited from our ongoing share buyback program. We purchased 7.5 million owned shares in the quarter or €204 million. This brings the total amount to €711 million for the first 9 months of the year. Slide 22 shows our results on an IFRS reported basis for Q3. And on this basis, our operating margin was 4%. There were 3 main impacts that led to the bigger than usual divergence in these results versus our underlying figures. First, we took an impairment charge of €187 million on Fresh Direct, which negatively impacted the reported IFRS U.S. operating margin. This was driven by broad-based sector evaluations as well as the reduced scope of that business, which is now predominantly focused on the New York Tri-State area. Second, on an IFRS reported basis, our European operating margin benefited from the release of a wage tax provision in Belgium amounting to €62 million. And third, in Q3, a $27 million benefit was recorded due to the further reduction of the FELRA excess benefit obligation under the final rule of the American Rescue Plan Act of August 8, 2022. Let's now turn to our regional performance. On to Chart 23, you see comparable sales growth by region, including and excluding weather and calendar effects. These results were very similar in the quarter with the inclusion of the 4th of July and Hurricane Ian both in the U.S. being the primary differentiators. Our comp sales accelerated in both regions again this quarter. We've delivered growth at every single brand. And as Frans already mentioned, this growth has been price driven. In the U.S., sales grew by 8.8% and comparable sales growth was 8.2%. Net consumer online sales were up 20.8%, with e-commerce penetration rates increasing 80 basis points to 7.5% as we continue to scale up our operations and roll out new omnichannel opportunities for our customers. With our hyper-local and flexible omnichannel toolkit, we are clearly outperforming our major competitors, and I fully expect this trend to continue. Underlying operating margin in the U.S. was 5%, keeping pace with the extraordinarily high bar set in the prior year with the support of food and home trends due to COVID. This includes a 30 basis point gain from the release of a provision of our self-insurance program. We had a similar gain last year in Q4, so note the timing is different this year. This primarily resulted from many years of continued improvements in workplace safety. With the consumer well supported by government stimulus and other support, the strong execution of our brands in the U.S. performed consistently well throughout the year. We are well prepared for the holiday season, and we expect more of the same robust performance to carry through the year-end. Turning now to Europe. Net sales increased here by 10.1% in the quarter. This was supported by market share gains at Albert Heijn, bol.com and Central Europe as well as 273 new net stores across the region compared to a year ago. Comparable store -- comparable sales grew 7.4%. As price inflation increased in the region, our teams did an excellent job of adapting their CVP by being fast and agile and introducing more entry-priced product solutions in stores and online, expanding our high-quality, healthy and better value own brand assortments, which now represent close to 50% of sales in the region, and deepening our engagement with customers through numerous upgrades and rollouts to our omnichannel loyalty programs. In Q3, net consumer online sales in the segment increased by 6.1%, following 20.1% growth in the same period last year, also showing a nice acceleration compared to the first half of the year. A large part of this improvement came from bol.com, which grew 5.6% compared to the prior year. In Europe, our Q3 underlying operating margin showed a slight improvement compared to Q2 despite a more pronounced impact from rising energy and utility costs, which we estimate at roughly 70 basis points in the quarter. Since we last communicated in August, we have seen further significant increases in energy prices out the year, which will continue to weigh on our European margins in the coming quarters. In addition to proactive steps, our brands are taking to reduce energy consumption across our operations. This continues to highlight the importance of our ongoing Save for our Customer cost saving program and the additional levers we announced in Q2 to help mitigate these and other inflationary headwinds. And we expect more from this going forward. We continue to work diligently on things that are under our own control. And here, as you would expect, we are also laser-focused on cash flow generation. In Q3, free cash flow was €133 million. Operating cash flow was €204 million higher this year, which was not fully reflected in the free cash flow due to ongoing optimization of our netting processes in the U.S. associated with the SAP 4S go live during the quarter. This timing effect is now expected to be fully normalized by the end of Q4. As a result, we remain fully confident to achieve our goal of around €2 billion in free cash flow for the full year. In dynamic and challenging times like these, we are proud that 2022 will again be another very good year for our company, better-than-expected underlying U.S. results, foreign exchange rate benefits and continued insurance gains from rising interest rates allow us to raise our full year diluted underlying EPS guidance to low double-digit growth. The rest of our targets for the year remain unchanged, including our expectations of an operating margin of at least 4% and net capital expenditures of approximately €2.5 billion and free cash flow of around €2 billion. In light of our continued expectation of strong free cash flow generation going forward, we are announcing the continuation of our annual share buyback program into 2023. While the environment is not getting any easier, we are committed to operational excellence, tight cost control and disciplined capital allocation that help us continue to succeed going forward. I'm confident that this recipe for success, which is about leveraging our strengths and focusing on those things under our own control will again pay off for us, allowing us to maintain our industry-leading position of consistent and reliable performance, dependable cash flows and shareholder returns. With that, thank you for your continued interest in our company. And operator, please open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Xavier Le Mené from Bank of America.
Xavier Le Mené: Congratulations for the great numbers. Two, if I may. So the first one, can you give us a bit more granularity on the market share gain for Stop & Shop and Hannaford to the Northeast? And linked to that, do you expect or do you think you would have to potentially -- with the Kroger-Albertson merger potentially to happen to be more proactive in your initiatives, i.e., accelerating potentially the remodeling or being more focused on pricing if you assume that these mergers means potentially a tougher competition. So that's really for the first question. The second one, as we approach the U.S. holiday season, so do you see any signs of slowdown or changes in the consumer behavior? So do you have any concern heading to the holiday season?
Frans Muller: Thank you, Xavier, for the 2 questions. On the market shares of our brands in the U.S., you know that the market share is coming in from Nielsen Norway with a quarter delayed, but we expect that we will see the same thing like the last quarter that we gained overall market share on the East Coast of the U.S., with Food Lion winning the most and then a small loss for Stop & Shop in overall market share views. That's one thing. The other thing linked to the announcement of the Kroger-Albersons transaction. Of course, we noticed that announcement, and we will monitor the situation and the developments there, but we don't comment on M&A activities of our competitors. What is more important to us is that with our strong positions on the East Coast, with a strong omnichannel strategy, with our brands doing very well as you also have seen from this Q3 results with a strong 5% margin strong growth but also a very strong net consumer sales growth in groceries, almost 20% in dollars in the U.S., we feel that we are very well positioned on the East Coast of the U. S. And you know that we have an active strategy to grow our brands, not only like-for-like, but also infill and opportunities like the Southeastern Grocers in the South Carolina, the 70 stores, which are doing extremely well. So we have our own strategy and own plan, which is serving us well and served us well in the past. We have an active M&A strategy, good visibility on growth opportunities. So that is our focus. The second thing on the down trading, I think you called it, right? So how customers are behaving, was that your second question on customer behavior?
Natalie Knight: I think it was about holiday trends.
Frans Muller: Holiday trends. Okay, holiday trends. So we have a strong start of the third -- the fourth quarter. And also in the U.S., we see that our consumers stay very strong. They were very strong in the last year -- in the last quarters, but also -- but a very good start also there on the holiday trends. And of course, Thanksgiving is coming up. We are well prepared for that with good promotions, with good stock levels. But also in the Netherlands, we are very well prepared for -- with bol.com for our Black Friday week. We are well prepared for Sinterklaas, which is very local Dutch culture. But also, we feel confident about the holiday season, both in the U.S. and Europe. But it has to play out because there's still quite some uncertainty in markets of the strength of our consumers, especially those in Europe.
Natalie Knight: I might add to that because you did say, as we're going to the holidays, are we seeing any signs? I think what we continue to see is a robust consumer in the U.S., quite resilient. And when we look at Europe -- and maybe this is in both markets, but more pronounced in Europe, there is an increasing drive for value. And that's one of the things that we're very focused on, one, in terms of how do we deal with our suppliers and negotiating. I think harder and harder to be able to make sure we get the best prices that we can. Also on our cost side, ensuring that we're really going after that, Save for our Customer, €850 million that we've promised and we need to be able to pass on to our -- and pricing to our associates. But I think the third piece is really around, if we start -- we want to make sure that people get the most value in our stores. And so that means we're looking at whether it's everyday low prices, the own brand offering that we can do, the loyalty programs, so that if our consumers are starting to need to look at down trading opportunities. And there will be some of that in Europe that we can help them do that within our store and make that something that's easy for them that provides good affordable product. And that's something we have started to see as we've moved throughout the year.
Operator: And your next question comes from the line of Nick Coulter from Citi.
Nick Coulter: I have two, please. And I'll go one by one, if I may. Firstly, could you talk around the progress on the Stop & Shop remodels and when you expect a tipping point or market share inflection for Stop & Shop. I guess it might be too granular, but it would be interesting to hear about the different metro performances.
Frans Muller: And your second question, Nick?
Nick Coulter: Second question, just on energy. I thank you for calling out the impact in Europe. But what was the energy cost, say, 2 years ago, please? And is there also an impact in the U.S. you can call out? And then any detail that you might have on the renewable components or long-term contract components you have within your energy?
Frans Muller: You sound like a retailer, Nick, 4 questions for the price of 2, but we'll try to figure it out.
Nick Coulter: I did offer today one by one, Frans.
Frans Muller: That's also true. That's also true. So I provoked you a little bit. So Natalie will come back to the energy component. On Stop & Shop, the remodelings, we have now roughly 40% of our total network remodeled, and we are very happy what we see. We see that the sales uplifts are doing better than the control groups in the areas which where we measure. So we measure, of course, control groups, which are comparable type of stores. We're also very happy with the first 5 stores in the meantime in the boroughs of New York. We let you know the last quarter that the first store in the Bronx did very well, but also the next 4 are doing very well. So we're very optimistic about that investment. In the meantime, we also got more exercised in the store remodelings. We fine-tuned after the first batch, both the investments in the store, the CapEx, but also the price investment. We learned what customers appreciated. And we went on learning more and more during those remodeling. So overall, very happy with the performance, doing better than the pro forma. And tipping point, yes, I think if we have done roughly half of the total store network, then I will -- then we will see a tipping point there. And so we're pretty close to that number.
Natalie Knight: And when it comes to energy, this is a hot topic these days. I think when you look at what’s happened on energy costs in the last 2 years, it’s a little bit like your own energy bill at home, it’s gone up significantly, certainly well above 100%. If we look at it in Europe, I’m not going to give a specific number there. But you also asked about the rest, it’s also up double-digit percentages. So it is a number that’s been moving. It’s a much bigger topic for us in Europe. What I would say for us in terms of how we think about it, one of the things that might be different for us than other retailers is that, remember, we’ve got mature markets that are deregulated, that are driven by private industry. And we have Eastern European markets, it’s a much smaller portion of our portfolio that are regulated markets. And that’s a place where we are subject to more exposure, and that’s what we saw in the third quarter. It was about half of that impact. So that’s something that did have a – played a role in terms of why weren’t we even better in the third quarter. We’re expecting that to be about the same impact in the fourth quarter. And as we look at 2023, because I think that’s kind of where it all – the direction of the question is going, let me just say we’re very well hedged in our major markets. We feel very confident on that, and we’ll give more guidance in ‘23. And to your comment on the renewable energy, that’s absolutely part of the go-forward path. We’ve done already some really good things in both the Netherlands and Belgium with green energy. You’re going to see at Albert Heijn, we don’t have gas in the stores by the end of next year. You’ll continue to see that improve, and we really are looking at especially in this environment where we already had a big focus on sustainability targets in Scope 1 and 2, how do we accelerate that transition to more renewable energy as we go forward.
Operator: And your next question comes from the line of Fabienne Caron from Kepler.
Fabienne Caron: My two questions would be, the first one, could you share with us the level of inflation you saw in your like-for-like in the U.S. and in Europe? And my second question would be, could you give us a bit more detail on the Belgium market? Our volume there -- do volume there continue to decline very strongly? And how is your market share trend evolving in Belgium?
Frans Muller: So on Belgium, Fabienne, we saw a positive number in Belgium on sales as we also reported on. And we were very successful in the third quarter also to be better equipped for customers under more difficult economic conditions. And the price favorites in Belgium, the small lions played an important role there. Overall, in Belgium, we're gaining market share when I, of course, add logically the Albert Heijn and the Delhaize shares. Delhaize on its own is slightly negative. So that's where we are on the Belgium market. But we see an uptick in sales. And let's see, in this very competitive market, how strong we are in the season, and normally we're pretty strong in the season in Belgium. So looking forward to that.
Natalie Knight: You also asked about inflation. And you know on that one, we don't disclose our own internal numbers. But if you look at the external things you've seen, I think U.S. Northeast CPI was 12% in the quarter. In the Netherlands, the government number is 12.7%. What I can say as always is that the amount that we've passed on, either directly on what you see on the shelf or also even more so with the promotion impact, it's considerably lower than that in our numbers.
Fabienne Caron: Okay. So -- but you still had negative volume, right, in your like-for-like given the market?
Natalie Knight: Yes, that everything with sales were price driven.
Operator: And your next question comes from Andrew Gwynn from Exane.
Andrew Gwynn: Two questions then. Firstly, FreshDirect. Just help us understand what's happening on this sort of reduced geographic scope, obviously, not in the original thinking? And then secondly, on the cost pressure in Europe, so the energy cost increase is obviously substantial. But why don't you think they're being priced through to the consumer?
Frans Muller: On FreshDirect, Andrew, we mentioned 2 things on the effect, the re-rating in the sector valuation, and that is pretty logical because we have a sales multiple, and the market for this kind of companies went down. So in good prudence, we took that down in the impairment. And the other thing is that the total scope of business changed for us because we had in the past in the FreshDirect business, both in D.C. and Philadelphia. And we felt that for strategic reasons, it's much smarter to focus on the New York area. So those are the 2 reasons why we took the impairment. And going forward, we will further integrate our FreshDirect business with Stop & Shop, and we see that we have -- we are able to make a good customer and market combinations there, which we have not seen. You heard me talking about Nick with the 5 stores in the boroughs of New York, which are doing very well, and we would like to see how we can combine that momentum for New York City.
Natalie Knight: And when it comes to the energy side, and I think it's a bit of a broader question when we look at Europe and margin development, we're really proud of the performance that we're being able to deliver in Europe. But the cost situation has and is getting more difficult. And we see it first in terms of what's happening on the cost of goods sold, and that's something where, as I mentioned, we're having very tough conversations with suppliers these days because we want to make sure that those costs are as fair as possible when we're having to pass those on to consumers. We've seen extraordinarily high cost when it comes to energy, and that's something that we haven't been able to pass on fully to customers. And we've chosen not to because we really want to make sure that we're being -- we see -- part of our role as a retailer is to buffer some of that for our customers. And so we've taken a conscious choice to balance what are the margin opportunities, what is the market share potential for our business and what do we need to deliver as value for our customers in this environment. And that's a good reason why you've seen the difference in profitability between our Europe and our U.S. businesses.
Frans Muller: And also in Europe, in most of our markets, we gained market share. So if you look at the Albert Heijn as an example, and Fabienne already asked me on Belgium, so let me fill in also on Albert Heijn. We gained market share. Even corrected for the DEEN acquisition, we gained market share. And that has to do with the fact that we've learned a lot about COVID on convenience, meal solutions and these kind of things. We added price favorites, the price entry assortment, more items we have now more than 1,500 items there. We see that customers find their way in our own brands, much stronger than before we gain market share or we've gained sales share in own brands, and we gained market share in the market. So I think customers appreciate this, which is important for us because we would like to make sure that they also are -- that we can help them in their economic situation, and that's what's also what Natalie is saying. We will not be able to -- and we don't want to do this to pass on all our inflationary components to customers because, at the moment, we feel this irresponsible and we'd rather gain share with our customer base sort of also have a future position, which is stronger.
Natalie Knight: And as I mentioned in the comments a few times, we're really focused on what everything we can do in our own control, where we're looking at saving cost whether it's the Save for our Customer, other new initiatives, expect us to stay, very agile on that front because that's what good operators do in tougher times.
Andrew Gwynn: That's all very clear. And just to clarify then, presumably the 4% margin target. I mean, you spoke about the coming quarters, I think we should think about quite a few quarters before back at 4%. Just to clarify on that point.
Natalie Knight: I think when you talk about for our group, we remain very committed to the 4% target that we've put out there in terms of our Investor Day guidance.
Andrew Gwynn: But sorry, in the last call, you said for European business, the 4% was -- I think I forgot the exact wording, both a few quarters away.
Natalie Knight: When we look at our European business, we do have, I think, an uphill route ahead of us in terms of getting to that 4% with the energy outlook we have. Definitely, if you look at it in terms of our – the energy component, we have, as I mentioned, a very well-hedged position as we go into the next year. But obviously, what we see in the first half of the year is going to be different than what we saw this year. So that will have an impact. But I remain very committed to the belief that we’re going to – in Europe continue to drive all of those cost-saving initiatives, focus on the market share, deliver the top line. And we believe that will also translate into margin over time.
Operator: And your next question comes from Sreedhar Mahamkali from UBS.
Sreedhar Mahamkali: A couple of them. I guess, I mean, we take -- we've probably assumed that you didn't want to take a more leading role in Albertsons consolidation. But maybe just more broadly taking a step back from it, should that deal go ahead? Is focusing on bolt-on deals still the right strategy? Or should you actually stand back and think a little differently in the U.S. on consolidation? That's the first one. Secondly, just coming back briefly to Andrew's question on Europe and -- Natalie. I mean you talked about a Europe-specific cost savings program of €250 million to €300 million. What is the expected contribution from it? And is that likely to give you an offset into the tough first half outlook for 2023 you were talking about in Europe? Those are the 2 questions.
Frans Muller: Thank you, Sreedhar. I can be rather brief on your first question.
Sreedhar Mahamkali: That was not to. [Technical difficulty]
Operator: Please continue to stand by. Your conference will resume shortly. Welcome back, you are live.
Frans Muller: Okay. Thank you, operator. And sorry, that's...
Sreedhar Mahamkali: I thought you were very, very brief there, Frans.
Frans Muller: That's correct. But don't take it personal, Sreedhar. That was not my intention, no, no, no. On the Albertsons-Kroger, because I said that I will be very brief there, and we're not here putting it publicly on the table our growth strategy for our company, as you might imagine. We have a clear view on the U.S. And as we said earlier, there's more to come on consolidation. We have an active M&A strategy. And when opportunities arise, then we will take part in those, but they should fit our strategy, our overall strategy as well. So unfortunately, it's -- wait until our announcements, I would say.
Natalie Knight: And on the....
Sreedhar Mahamkali: Maybe just super briefly, just to follow up there, Frans. I mean, you've always talked about adjacent geographies and take less geographies, just to get them more out of the distribution network. Is that still the right way to think about it? Or would you be looking at a relatively attractively priced -- relatively well investor store base a little further out or that won't really change in the way you think about it?
Frans Muller: I know that a few of you got a little bit bored with my free step plan. So preferably, most accretive grow on the same square meters. Secondly, the fill-in bolt-ons where we have branding and supply chain in place, (inaudible) the adjacencies. And you can have that both for Europe and for the U.S. in the same type of fashion. And that's where we are. And there's quite some adjacency in the U.S. as well. So let's wait for that development, and let's wait for the opportunities which arise. And we will do the best thing possible in line with strategy, in light with expectation of our shareholders to do the right thing. And by the way, that's the same for Europe.
Natalie Knight: And I'll move over to the Europe cost savings program, where you're right, we've talked about that €250 million to €300 million cost savings program incremental to our Save for the Customer program. And this is something we've gotten about 15% of it actually already in the third quarter. Our goal was about 25% this year, and then you'd see the remaining piece in '23 and '24. And that is on track. I believe you'll -- that's something we actually see. There may be more potential than we initially expected. It's really a key focus for us, and that is a key part of how we deliver that 4% as we go in Europe because that is something we really do believe is the place we need to be as a business going forward.
Frans Muller: And I just found out straight that I did not completely answer your follow-up question, namely a well-invested store network. That has been always a part of our plans. So we have also this year, €2.5 billion CapEx we believe in a well-invested store network, well-invested omnichannel store where an increasing proportion to digital and technology that makes our company strong. And if we see all the developments now with the digital connection, digital relationship with our customer base, then we get rewarded for this. And a well-invested store network, omnichannel digital technology is, of course, also going forward a part of the plan.
Operator: And your next question comes from Fernand de Boer, Degroof Petercam.
Fernand de Boer: I think most of my questions have been answered. But on the Netherlands, we will also have an indexation of a 10% increase in the minimum wages. What does that mean for Albert Heijn going forward?
Frans Muller: That means, Fernand, that is a market level playing field phenomenon to start with. That is for the total market. It’s a federally agreed legislation there. That means that we have to find solutions in our cost-saving programs to find productivity gains. If we would like to maintain our profitability, and that’s our plan. So that’s our position. And that is, in general, our position with labor lines increasing that we have to find productivity measures to compensate for that.
Operator: And your next question comes from the line of Robert Vos, ABN AMRO, ODDO BHF. Robert has disconnected. I will go to the next question. One moment, please. And your next question comes from the line of Clement Genelot from Bryan Garnier & Co.
Clement Genelot: Just two questions on my side. The first one is on food inflation. Do you see some early signs of inflation flattering or even easing in the U.S.? And the second question is on the wages. Do you still have some wage negotiations ongoing with the unions in both the U.S. and Europe? I am asking to try to have a better view on your '23 across [extra].
Frans Muller: Thank you, Clement. The line was not so clear, but I hope that I understood your questions. On inflation, I think we see inflation, which, at the moment, stabilizing. And if you look at the big macroeconomic outlook for next year, which is not our outlook but the macroeconomic outlook, then we expect that also in the second half of next year, we might see a little bit more easing of inflation but still at an elevated level compared to pre-COVID times. That's one thing on inflation. So stabilization at the moment. And the levels are roughly comparable for the U.S. and Europe, like Natalie already mentioned. What we read in the newspapers on inflation in Europe is, most of the time, not our felt inflation by customers because we have attractive baskets, a good pricing, extra promotions and higher own brand sales, which are easing inflation for customers in itself. So that was the inflation question. And the second question was -- could you once more repeat that because that was not so clear with us, Clement.
Natalie Knight: I just heard it was something about 2023.
Clement Genelot: Financial...
Frans Muller: The CLAs, the CLAs. Sorry about that. Yes, yes, yes. So last quarter, we already shared with you the last quarter that if we look at the U.S., then we made a big step with our Stop & Shop CLA results, and we’re there, let’s say, covered for the coming 4 years, which is, of course, an important one because it’s one of the biggest companies we have. And we have there a rather stable outlook for next year. And if we look at Europe, then we have negotiations, CLA negotiations coming up for the Netherlands, which are expiring in the second quarter of next year. And we expect that those negotiations at the sector table will be started by the end of this year.
Operator: And your final question comes from James Grzinic from Jefferies.
James Grzinic: One for Frans and one for Natalie. My first one for you, Frans. Does that €1 billion buyback for '23 at all prejudice, what you may do or not do on the M&A front? Or is it just going through the motions given the automatic nature of that for the business? And secondly, Natalie, why do disconnect between the upgrade in DPS growth expectations and the reiteration of the free cash flow view for the year, please?
Frans Muller: So the first question, you already made the distribution between Natalie and myself, so talking about...
James Grzinic: Sorry, Frans.
Frans Muller: No, no problem. No problem. We...
Natalie Knight: We're all flexible here.
Frans Muller: We always like to have some help here, so that's okay. Now on the share buyback. I think we made the regular comments on that as you also see that on the outlook in footnote number three. We would like to make sure that we serve all our stakeholders. And it means, of course, also shareholders with good returns. And when there is room, when there's excess cash, then we see that opportunity for the €1 billion like we confirm for 2023. But still, we also see an uncertain -- potentially uncertain outlook for next year for 2023. So that is a disclaimer. If that macroeconomic environment might change drastically, the war in Ukraine might also cause a few things more. But also if there's material M&A activity, then we might revise a share buyback because we have better plans with even greater shareholder returns. So -- but that's how we normally operate, how we operate this year. how we operate at the last couple of years and how we operate next year as well.
Natalie Knight: And moving on to the EPS and the free cash flow. I mean, I think this one is a pretty simple math. If you look at the third quarter, I think it's at least half of the result in terms of the strength of our performance came from noncash items. So you saw that the interest rates moved positively for us and exchange rates move positively for us. Those are things that won't immediately impact the free cash flow. And so as a result, we've left that number at what I think is a very strong €2 billion outlook.
John-Paul O'Meara: Thank you, everyone, for joining our call today. If we haven't addressed your questions, please feel free to reach out to the team during the day, and we look forward to seeing you on the road over the next few days and weeks.
Frans Muller: And thank you, operator, for navigating us through a few technical problems. I appreciate your help there as well.